Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Fiscal 1Q '21 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today Soohwan Kim, Head of Investor Relations. Please go ahead, sir.
Soohwan Kim: Thank you. I'm pleased to welcome you to our call to discuss our first quarter fiscal '21 earnings results. We posted the earnings materials and slides to our Investor Relations events webpage. Speakers on today's call are Vincent Pilette, NortonLifeLock's Chief Executive Officer; Natalie Derse, Chief Financial Officer. This call will be available for replay via webcast on our website. I'd like to remind everyone that all references to final metrics are non-GAAP, unless otherwise stated. Please refer to the supplemental materials posted on the Investor Relations website for further definitions of our non-GAAP metrics. Please note non-GAAP financial measures referenced during this call are reconciled to their comparable GAAP financial measures in the press release and supplemental materials posted on our website. We believe our presentation of non-GAAP financial measures, when taken together with corresponding GAAP financial measures provide meaningful supplemental information regarding our operating performance for reasons discussed below. Our management team uses these non-GAAP financial measures in assessing our operating results as well as when planning and forecasting future periods. We believe our non-GAAP financial measures also facilitate comparisons of our performance to prior periods and that investors benefit from understanding our non-GAAP financial measures. Non-GAAP financial measures are supplemental and should not be considered as a substitute for financial information presented in accordance with GAAP. Today's call contains forward-looking statements based on conditions we currently see. Those statements are based on current beliefs, assumptions and expectations, speak only as of the current date, and as such, involve risks and uncertainties that may cause actual results to differ materially from our current expectations. In particular, our statements regarding the impact of the ongoing COVID-19 pandemic on our business and industry, our sale of our Enterprise Security assets to Broadcom, any anticipated benefits from such sale and cost reductions associated with this transaction are subject to a variety of risks. Please refer to the cautionary statement in our press release for more information. You will also find a detailed discussion of our risk factors in our filings with the SEC and in particular, our annual report on Form 10-K for the fiscal year ended April 3rd, 2020 and recently filed quarterly reports on Form 10-Q. Let me now turn the call over to Vincent.
Vincent Pilette: Thanks Soohwan, and good afternoon, everyone. Thanks for joining us today. Since we closed the sales of the enterprise business, we committed to return to customer growth, drive sustainable revenue growth, completed overhaul of the cost structure and deliver a healthy profit. In just our second full quarter at NortonLifeLock, our first quarter of fiscal year 2021, we delivered better-than-expected results with strong reported billings growth of 9%, revenue growth of 4%, and EPS growth of 48% year-over-year. As we created NortonLifeLock, we believe in the potential of the business solely focused on building personal cyber safety for consumers. We initially set our sights on sustainably and meaningfully growing customer count and delivering revenue growth in the mid single-digits. In Q1, we delivered both sequential and year-over-year 400,000 net new customers a first since 2014. Revenue growth was 4% meeting the long-term objective of mid single-digit in just our second full quarter. At the end of June, we eliminated 95% of the stranded cost, and we expect to be done this month, one quarter ahead of plan. In Q1, included stranded, we reached 47% operating margin for the company, up 15 points year-over-year and expect to reach 50% by September, another one of our commitment. If you exclude the stranded cost, the consumer business has been running above 51% better than our operating margin target of 50%. Our Q1 EPS was $0.31, which included a $0.04 impact from stranded cost and is up $0.10 year-over-year. By the end of this fiscal year, we expect to run the business at a target of $1.50 annualized EPS, which can be achieved by virtue of mid single-digit revenue growth, operating margin above 50% or utilizing our remaining 600 million share buyback program or some combination of any or all of them. Finally, we projected to run the company at 900 million annualized free cash flow after the transition period. While we have been and are running at that level in Q1 excluding cash spend on stranded cost. We are trucking for those levels to be reflected in our cash flow statement, once our financials are clean of stranded cost in the second half of this fiscal year. As we demonstrated the operational discipline with which we want to continue to operate, we made it a priority to build out our post-transition leadership team. This quarter we welcomed new and accomplished leaders with deep experience in consumer technology. Natalie, who you will hear from in a minute brings operational skills with a growth mindset. Overall, we added seasoned leaders from very successful consumer technology companies. These leaders are joining us for a mission to bring cyber safety to every consumer around the world. We believe the company is uniquely positioned to seize the tremendous growth opportunity. Our initial level to restart the growth was to increase our marketing spend, which as you know is our main way to reach new consumers and educate them on the benefits of our solutions. As we maintain a consistent messaging level in the market, we saw increased efficacy. Our overall customer acquisition cost continue to benefit not just from lower ad rates related to COVID, but also from our own initiatives to shift marketing spend to new digital channels including search, social media, and digital video. In terms of reach despite the global strength of the Norton brand, we had not invested in international marketing in recent years. We reversed that in Q3 fiscal year '20 and we are beginning to see the results from those investments. The strategic shift in our marketing efforts have broadened our reach and we are making steady progress in reaching younger and international customer cohorts. As of the end of Q1, we count 20.6 million customers who buy our products or services directly through our e-commerce platform. This represents an increase in net customer by 379,000 sequentially and 416,000 year-over-year. Our Q1 growth was broad based with growth across the board, the portfolio, and the geographies. We grew both in the U.S. and internationally across all regions. The increase in international customer count outpace that in the U.S. another first in a long time here. Supported by trends like work from home, virtual meetings, and online shopping and transacting, we saw both our security and identity product categories grow sequentially and year-over-year another first in a very long time. Our average revenue per user or ARPU remained strong at $9.03 per month even as we recorded strong net additions. Our retention remained very strong as well at around 85% suggesting that customers recognize the value and stay with us for long time. In addition to our direct business, which accounts for about 90% of our revenue, we also have a partner organization developing new ways of distributing our offering to individuals. In Q1, we grew our indirect revenue 11% year-over-year. In retail, our performance in Amazon and other e-tailers offset the weakness from traditional stores being shut down or operating with limited hours. Our indirect sales also benefited from the strong performance of employee benefit programs, our fastest growing partner channel. We are seeing strong growth from new employee acquisitions and greater participation within existing employers. Furthermore, while we are still in the early stages, I'm also pleased to report progress in our long-term partnerships with organizations like TELUS and ARP. Also it takes time to develop and ramp up new relationships. We believe in the long-term potential to expand our reach and continue to grow. Growing through new marketing channels and various forms of partnerships and consistently messaging our value proposition to them is extremely important. Our new Chief Commercial Officer, Robert Clarkson has significant experience building out global partners and platforms over his tenure at PayPal. His passion is around consistently delivering the customer experience throughout the customer journey and lifetime. That is the reason we regrouped our direct, indirect and renewal sales organization under his leadership. Our vision is to keep people around the world cyber safe. We believe it is our responsibility to provide everyone with innovative products and solutions to protect and control the digital lives. That vision was the impetus for creating the Norton 360 integrated platform and we believe customers are starting to see it. The vast majority of new customers are now coming directly to Norton 360. And as of the end of Q1 over 40% of our installed base was on Norton 360 up from approximately 25% at the end of Q4. These penetration is important as it enables us to offer comprehensive cyber safety and the one common experience to seamlessly upgrade our platform with new features like Home Title Protection and to increase the engagement and with the retention of our customers. Some of our platform features might continue to be offered as standalone products where it makes sense for our customers and help accelerate the growth of our company. Last quarter, we talked about SurfEasy VPN, as an example of a standalone product. This quarter I want to share a new example that demonstrates how we constantly are looking at new ways to protect people and the highly dynamic digitalize. Some customer want help limiting the public availability of the own personal data. Serve the web and you will likely see that a lot of your personal information that you may not want out there is readily available such as name, age, addresses phone numbers. Privacy Monitor, which is available as a feature with Norton 360 with LifeLock stands for personally identifiable information or PII accessible on the most popular people search websites. But taking control of this data is tedious at best and often too complex. Recognizing this consumer need, we developed and better tested a product called Privacy Monitor assistant. It's a white glove service where our agents assisted by software find and delete all your PII on this data broker website. Wouldn't you pay for a reasonable fee to secure your personal information. It's still early, but we have seen positive response so far, and we think this capability has tremendous value for our customers. This is a good example of how we can continue to fulfill our vision by protecting our customers and enhancing the control they have over the digital lives. It's also a good example of how our service capability combined with software can differentiate us from competitors. We have a large customer base that constantly uses our service and provide us with insights we can turn into new features or products. Growing through innovative products and solution is key to fulfill our mission. That is why we have put product management and R&D under our new Chief Product Officer, Gagan Singh. Gagan has a passion for technology and in particular how artificial intelligence and machine learning can help build cutting-edge product. He was particularly interested in our internal research team and their capabilities. This June our research team released Botsight, which can be downloaded for free as a browser extension or iOS app in the targeted efforts to enable people to identify this information on the Twitter feeds. Botsight technology is based on machine learning and leading-edge algorithm. It looks at over 20 different distinguishing features such as age of the account and tweet frequency to detect twitter bots and show them directly on feeds in real time. We are now looking to advance this technology and extend this capability to other use cases and threats. Before I pass it to Natalie let me take a minute to step back and talk about our vision to deliver cyber safety to every person across the globe. Even before the world was starting to turmoil our mission was relevant as the digital world is taking over how we work, learn, shop and basically live our lives. Now with COVID-19 our mission is more important than ever. Clearly, this pandemic has accelerated people's reliance on technology and we are seeing the impact of that increased activity online to the number and variety of attacks on consumers. Attackers have elevated the techniques on stealing information, disrupting sites and cascading malware through phishing attacks, camouflage the tracing apps, social engineering portraying COVID vaccines and poisoned website eliminating stimulus benefits. All resulting in an increased need for security, identity protection and restoration and privacy solutions. These are just a few of examples of the many threats facing us now, that's more of our everyday activities are done digitally. So once there is a lot of uncertainty at the macro level, one thing is certain, there is a real need for cyber safety for individuals, families and homes through innovative products and expanding distribution channels. Our mission is to meet that need and provide cyber safety to everyone. And with that let me pass it to Natalie to give you more details on our Q1 financials.
Natalie Derse: Thanks Vincent. Before I dive into our results, let me first say how excited I am to join NortonLifeLock. I'm inspired by our mission to bring cyber safety to consumers worldwide and I'm energized to help drive that mission in my new role. Over the course of my career I've chosen to join companies where the mission and the brand are focused on helping people in their everyday lives. From GE to Black & Decker to eBay and now NortonLifeLock albeit leaders in different industries. These brands were all built on establishing trust with and delivering intrinsic value to their customers. Here at NortonLifeLock we must continue to deliver on our commitment to keeping consumer safe and then control their digital lives. This commitment combined with our incredible business model, an opportunity to drive accelerating growth is what drew me to NortonLifeLock. I look forward to working with our team to achieve our strategic aspirations. Now let me share our Q1 performance focusing on non-GAAP results. Q1 revenue was better-than-expected at $614 million, up 4% year-over-year. Q1 reported billings was up 9% year-over-year with the two point positive impact from FX in our ending contract liability balance. Billings growth was supported by customer -- growth in customer count increasing approximately 400,000 both quarter-over-quarter and year-over-year. This was our third consecutive quarter of net customer adds and our first quarter of year-over-year growth in customer count in over five years. Diluted EPS was $0.31, up 48% year-over-year and exceeded our guidance range driven by strong execution on top line growth and removal of stranded cost. For the quarter total company operating margin from continuing operations was 47% burdened by approximately $30 million of stranded costs. Therefore excluding stranded costs, the business is operating at over 51% operating margin with headcount below 2,500. With approximately 95% of total stranded costs were moved through Q1, we are lowering our estimate for cumulative cash stranded cost to $650 million down from our $750 million projection last quarter. Q2 will be the last quarter with notable transition related costs in our non-GAAP financials. When the company first started this process eight months ago, we said cash sales proceeds will fund cash stranded costs. With strong execution on both cost and asset sales we are now projecting to deliver over $1 billion more cash than initially forecasted. As for the remaining sale of underutilized assets, we remain confident in our ability to reach our goal of $1.5 billion total cash proceeds. We are pleased to announce the recent sale of our Culver City real estate, which closed on July 27th for $120 million. As for our remaining underutilized assets, we remain focused yet patient on monetizing and realizing fair market value. We had another strong quarter of operating cash flow. We generated $170 million of cash flow from operations and spent only $1 million in CapEx. Cash flow was burdened by some one-time items this quarter most significantly about $100 million of stranded cash costs, which were partially offset by the timing of certain tax payments. Adjusting for these non-recurring items, the business is generating approximately $900 million of free cash flow on an annualized basis. We believe we are well capitalized with our Q1 ending cash balance at $1.1 billion and another $1 billion in our undrawn revolver. With our strong balance sheet and cash flow, we continue to return cash to shareholders this quarter. We cash settled the principal and conversion rates of our $625 million convertible note, which lowered our debt to $3.625 billion and reduced diluted share count by over 30 million shares based on our Q1 average stock price. As a reminder we still have approximately $600 million left of our $1.6 billion share buyback authorization and we'll continue to use it opportunistically. Now turning to our Q2 outlook. We expect Q2 non-GAAP revenue in the range of $615 to $625 million representing 3% to 5% growth after normalizing for the ID Analytics divestiture. We expect Q2 non-GAAP EPS to be in the range of $0.31 per share to $0.35 per share with the business operating at approximately 50% profit margin when excluding stranded cost. Finally, I would like to thank Matt Brown for his leadership through the interim period and thank the entire team for their execution over the past eight months. I look forward to building on the strong financial foundation we have and delivering consistent results for our shareholders. Now let me turn the call back to Vincent for closing comments.
Vincent Pilette: Thanks Natalie. In the last eight months, we have turned NortonLifeLock into a growing leader with distinct competitive advantages. We have eliminated stranded costs. We have build a consumer-centric leadership team. We have reinvested into our go-to market model and reinvigorated our product development team. I'm proud to say we have delivered on all of our initial commitments, but as we have increased our execution capabilities, our ambitions have also grown where our sight set on our mission. Consumers are beset by constantly evolving cyber threats. Our current platform is just scratching the surface of what can be done and we now singularly focused on innovating on our consumer cyber safety vision. We have a large engaged customer base, terrific technology capabilities, and innovation pipeline and significant financial resources. Combined these things with recurring revenue high margins and significant cash flow and you can see why I'm super optimistic about our future and long-term growth potential. And with that we are now happy to take your questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Keith Weiss.
Keith Weiss: The headline number from my perspective, of course, is almost 400,000, new subscribers added to the platform. That's the biggest sequential increase that we've seen in quite some time. And so maybe to start out, can you help us understand to certain extent, is this just like the programmatic stuff you guys put into place on the marketing side of the equation and particularly spending to international or is this kind of like a delayed reaction from work from home because you guys would see it a little bit later than kind of other people because you don't do sort of the bundling with OEMs. So it's more about getting sort of more PCs out there and you guys do your marketing against them. If you could help us understand kind of where that screen came from and how much of it do you guys think is going to be durable on a go-forward basis in terms of just adding customers to the platform?
Vincent Pilette: Yes, and as I do that, we have to go back to where we are coming from, right. When we broke out and decided to focus slowly on the consumer business how tedious has been that cyber safety will become more and more important for everyone as we move more and more of our activities online. And cyber safety doesn't just mean security, security for your device, security for you data. It also means privacy, protecting your identity, and including services to restore when it can't be prevented. So it's a overall rollout we know we have -- we are building in the long-term. There are a lot of applications and fields that we still need to fill in that portfolio and build up the category. So we believe the thesis if you want is long structural one. So that's number one. Number two is the division at the time under Symantec had not invested in marketing as we discussed in the past and we re-accelerated marketing as a way to communicate our message to consumers. We raised our marketing envelope by $100 million on an annual basis. We also said that the efficacy of that marketing investment, if you want, has to show up over time as we consistently deliver and spend in market. And then we started to tweak that marketing investment, moving to new channels of marketing, moving to new regions and starting to market in Europe, for example, where we had not marketed in the past. So those are our contributors, if you want, for the return to growth. And we said, hey, the most important is product. In April '19 we launched the first version of Norton 360 an integrated platform addressing four pillars security, privacy, identity protection and restoration and the entire family and homes if you want and we still are in the process of rolling that out. I believe it's very attractive for consumer to adopt that overall umbrella for membership fee having access to all of those areas and having a peace of mind. And then the last one is then COVID-19 happened and definitely it change the way people operate online. Is it a peak change or is it a step function. I don't know but we believe in the long-term view of building up our portfolio and creating awareness to drive growth.
Keith Weiss: And then and the underutilized asset sales. Can you just remind me what the like the remaining I guess the 600 million is in terms of the expected proceeds like what are those assets left to be sold?
Natalie Derse: Yes, Keith. This is Natalie, I'll take that one. We have few assets held for sale on our balance sheet including the three campuses that we have here in Mountain View as well as one in Dublin. We have active discussions with interested parties and albeit it's very hard to predict the timing of the sales especially given current conditions. Please note we are focused on striking the right balance between value, price and timing of those sales.
Keith Weiss: And then on the operating side of the equation. How should we think about the pace of hiring for you guys through FY'21 like where are you guys looking to sort of making investments where should we expect to see hiring and any kind of indications on the pace would be great?
Vincent Pilette: Yes. Absolutely. So before the pace, I want to say, we put a business model out there and we say, hey, we're going to grow at mid single-digit and operate the business at 50% operating margin and I don't have to remind you that eight months ago I think the majority of people were doubters. We delivered on that business model at least a quarter ahead of plan. I think we've proven we can operate at these levels. We reduced the headcount from the Symantec company 12,000 people, today where our business model should be around 2500. And for the first time in a long time, we shifted from restructuring to hiring talent where it makes sense. And I can tell you, it's definitely energizing for the entire company to talk about hiring the right talent, the right skill set. We are hiring engineers in Dublin where we are trying to create a prototype over there and we are hiring in threat analytics. So we definitely are building up the functions. We have a few new leaders. I mentioned Gagan and his passion around machine learning. Robert came in and has a passion around the customer life cycle. Both of them are coming up with proposal for investment to accelerate the growth. And I can tell you I'm super happy to have Natalie here. So I found my match in term of CFO skill set and she and I will partner trying to prioritize those investment to accelerate our performance.
Operator: And your next question comes from the line of Fatima Boolani from UBS. Please go ahead.
Fatima Boolani: Thank you for taking the questions, and welcome Natalie look forward to working with you. Maybe just to start if I can drill in onto the strength on the indirect side. You specifically called out strength from the employee benefits vertical. I'm wondering what were some of the steps you took to actually revitalize that channel and what investments or mechanisms or programs you have in place to sort of have this continue to sustainably help drive subscriber growth and then I have a couple of follow-ups.
Vincent Pilette: Yes. No, absolutely. So first of all the employee benefit program has been a grower channel for us or growing channel for us for a few quarters. This quarter it was very strong performance that offset the physical retail weakness of course. The overall proposal I think is the number activity. Norton 360 overall that offers with your identity protection also the security element is a big one. Today if you take employee benefit right at a very macro level. The U.S. company spent 37 billion on employee benefits. There 5.6 million employers and there are programs address a few thousand. So we want to bring on new and unique solutions to more employers and at a very basic level after obviously upgrading the platform, it's really about sales and sales coverage. So you'll see us continue in that area.
Fatima Boolani: And then just on the subscriber count growth both sequentially. I mean year-over-year. I wanted to get a better understanding of the demographic in terms of the age potentially socioeconomic backdrop and how that factors into your retention rate assumptions as we move forward provided that a lot of these more subs are very new to the Norton family. So I just wanted to get a better understanding of this profile of the new subscriber that's coming into the Norton ecosystem relative to the subscribers you had in the past outside some of the comments you made with strength from the international front and that's it from me. Thank you.
Vincent Pilette: No, absolutely. So we said it now for a few quarters. Our number one objective was to return the company to growth and the number one priority in our metrics was to attract more customers, so they can expand the cyber safety program. Moving into new demographics in term of age if you want to pyramid as well as new geographies was an important objective. As you know we are marketing in Europe, we partner with TELUS in Canada and then some of demography and reaching out. We are moving from traditional form of marketing into new reform social media digital videos. I was looking obviously quarter in quarter out, you cannot always map it. But I was looking at the long time two years trends. If you look at 2018, our Gen X plus baby boomers were over 70% of our total customers. Today that group is around 55% and the rest into newer cohorts. So we'll continue in that trend we'll continue with that effort. We launched a gaming addition of Norton 360 and as we develop programs we are going to have in mind this needs to reach out to all cohorts.
Operator: And your next question comes from the line of Saket Kalia from Barclays. Please go ahead.
Saket Kalia: Thanks for taking my questions here. Vincent, maybe first for you. I think you've touched on this in a couple of other questions. But can we just drill into subscriber acquisition outside the U.S.. Just a little bit more what markets are doing well and do you typically lead internationally with Norton over the LifeLock over the bundle just a little bit more meat on the bone in terms of what's working internationally?
Vincent Pilette: Yes, we're still refining our program, but I would say over the last couple of quarters. Specific last quarter mature countries in Asia, Japan, Australia and New Zealand in Europe, Germany, France, U.K. where high performance for us. We definitely pushing one message when it's come to marketing awareness, and it's under Norton 360. The ability and unique competitive advantage to offer a cyber safety blanket full consumers is our main value prop. This is our way to build that vision to ensure that everyone can get that digital lives pace. There are some cases where we lead with specific standalone products and that's market specific. We can go into more details, but overall we charge was Norton 360.
Saket Kalia: And maybe my follow-up for you, Vincent. I guess the question is, how are you thinking about market share in both the anti-virus and sort of identity protection parts of the business separately or together how you want to talk about it. And more importantly, do you feel like the changes that we're making at the company here are sort of sustainable in terms of market share.
Vincent Pilette: Yes. So I'm not upset by market share especially because today market the way they are defined are by pillars, you have the security traditional security pillar then you have the identity pillar, you have still forming once waste privacy. Privacy is the new frontier of security or own standalone set of market. Frankly, we really working, as we said about acquiring new customers and delighting those that we have and you've seen that we've done somewhat of a good job with our retention of 85%, but we continue to improve there and that's our major focus. If we continue to focus on innovation building up the portfolio and trying to build that cyber safety vision. I think that's the ways we want to run.
Operator: [Operator Instructions] And your next question comes from the line of Walter Pritchard from Citi. Please go ahead.
Walter Pritchard: Hi, Vincent, and good to talk to you for the first time here Natalie. On the international, can you help us understand your marketing effectiveness. How you're -- what you're seeing in terms of measurement and marketing effectiveness internationally versus domestically. In other words I assume it still lags. How much does that lag relative to what the sort of effective as you've seen in the U.S.?
Vincent Pilette: I think if you're interested in FP&A role, we have a job for you. You're totally, right, you've seen it. We first invested in the U.S., we mature CAG. We had good return. We're now moving from traditional forms to digital forms are playing out ahead. Two quarters ago, we started to do international, international we started directly more digital and social media, leading the charge with Norton 360 as I mentioned. We're still building up new identity feature and privacy features and dark web monitoring being expanding into new countries in Asia next quarter into Europe. So we definitely are behind the U.S., but it's faster growing and we are very focused on building up that international presence. I think it's the huge opportunity for us moving forward.
Walter Pritchard: And how are you thinking about from a higher level, you've achieved the goal. I mean as you noticed earlier in terms of getting to the, you know, the mid single-digit growth at 50% margin. How are you thinking about the next step? Is it to push harder on the growth? Is it to preserve that margin? Is that's the optimal sort of marginal cost? I just curious how you're thinking about just philosophically the next step.
Vincent Pilette: So you have a new leadership team for them achieving mid single-digit was the entry point, okay. What's next. Where can we go? What do we do? This vision is fantastic and full of opportunity. And so we discussed and we agreed that accelerating the growth and making our solution more complete and available to more consumers is our number one mission. Now we are running the consumer business slightly above the current operating margin target. I'm not going to change it. So we still intend to run the business at 50% and some quarter we'll find operational efficiencies. We don't have an immediate reaction to spend it, but we have plenty of new ideas to fund to try to accelerate the growth if we're able and I think we will be in the long-term to accelerate that growth. I would say growing EPS faster than revenues is our segment metric. We won't be bounded by a ratio of percentage, it's really about accelerating the top line growing and growing EPS faster than revenue.
Operator: And your next question comes from the line Yi Fu Lee from Oppenheimer. Please go ahead.
Yi Fu Lee: Thank you for taking my question and congrats on the strong results. Welcome Natalie and hope everybody is safe. I guess my question just a follow-up from the last question. In terms of the growth in the international data presence. I understand the last couple of quarters you invested in TELUS. I was wondering which market whether is it EMEA, APAC, Latin America would you say is the most critical for NortonLifeLock to invest at this juncture.
Vincent Pilette: Well, I think, we are global leaders. I have to invest in developing the portfolio and developing the marketing and sales channel. I have to invest indirect digital media and building up on the opportunity in the employee programs and with Natalie's help and I can tell you, she has a growth mindset, but very analytical. So when you use data to prioritize those investments. Canada is a huge opportunity penetrating the identity space internationally where digital identity and I would say [technical difficulty] are growing very fast all huge opportunity for us.
Yi Fu Lee: And then maybe one more follow-up, would it be Natalie or Vincent in terms of I understand the restructuring process. Again it's really ahead our plan and ahead of target. If you were to spend your investment dollars in the future in terms of other M&A or the investments you want to add to the large portfolio where would the dollar be spent on this areas?
Vincent Pilette: Sure. I'll give you main target. Look, we've earned the credibility of looking at also growth inorganically or organically. So our process really start with the portfolio and the market to build up cyber safety. What are the gaps in the other applications we can build on. And then we have real-time assessment on organic capabilities or time to market needs versus what already exists, whether it's a prototype of product or fully developed business. And then at the end of the day all matches it becomes a financial decisions. I think we've earned the credibility. We have the operational chart on the whole management team, leadership team and company including the Board is focused on growth from all sites.
Operator: [Operator Instructions] And I have no further questions at this time in queue. Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.